Operator: Good day and welcome to the Inovio First Quarter 2022 Financial Results Conference Call. All participants will be in a listen-only mode for the duration of the call. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please also note that this event is being recorded today. I would now like to turn the conference over to Thomas Hong, Manager of Investor Relations. Please go ahead.
Thomas Hong: Good afternoon and thank you for joining the Inovio 2023 first quarter conference Call. Joining me on today's call are Dr. Jacque Shea, President and CEO; Dr. Michael Sumner, Chief Medical Officer; and Mr. Peter Kies, Chief Financial Officer. We also have other members of Innovia's leadership here with us today, who will be part of our Q&A session. Today's call will review our corporate and financial information for the quarter ended March 31, 2023, as well as provide a development and progress update for our DNA medicines platform. Following prepared remarks, we will conduct a question-and-answer segment. During the call, we will be making forward-looking statements regarding future events and the future performance of the company. These events relate to our business plans to develop Inovio's DNA medicines platform, which include clinical and regulatory developments and timing of clinical data readouts, along with capital resources and strategic matters. All of these statements are based on the beliefs and expectations of management as of today. Actual events or results could differ materially. We refer you to the documents we file from time to time with the SEC, which under the heading Risk Factors identify important factors that could cause actual results to differ materially from those expressed by the company verbally as well as statements made within this afternoon's press release. This call is being webcast live, and a link can be found on our website, ir.inovio.com, and a replay will be made available shortly after this call is concluded. I will now turn the call over to Inovio's President and CEO, Dr. Jacque Shea.
Jacqueline Shea: Good afternoon, and thank you to everyone for joining today's call. In the first quarter of 2023 we made solid progress with several key pipeline candidates. Notably, we made important headway in the development of INO-3107, our product candidate for recurrent respiratory papillomatosis or RRP. Our Chief Medical Officer, Dr. Michael Sumner, will provide more detail about our overall progress for this product candidate. But in short, since our last investor call, we received the initial feedback from the FDA on our proposed Phase 3 plans leading us to believe we have an achievable framework for a Phase 3 trial for INO-3107. We also announced that the European Committee for Orphan Medicinal Products issued a positive opinion on our application for Orphan Drug Designation for INO-3107 with the European Commission's financial decision expected in May. These regulatory developments come on the heels of positive data from the second cohort of our Phase 1 and 2 trial for INO-3107 as shared in February and additional combined data on the safety and immunogenicity of INO-3107 that was presented by lead investigator, Dr. Ted Mau at ABEA, a premier and key meeting in Boston just last week. This data shows that INO-3107 has the ability to elicit a robust immune response and has the potential to provide clinical benefit to patients who otherwise face a lifetime of disruptive surgeries. The data presented was accepted for publication by the Laryngoscope, one of the key journals read by physicians who care for RRP in April. In the first quarter, we also announced encouraging data from our Phase 1 trial with INO-4201 as an Ebola booster for ERVEBO, which not only showed the potential of INO-4201 as an important tool in extending protection against the Ebola virus, but also demonstrated the versatility of our platform and the ability of DNA medicines to elicit potentially protective immune responses across multiple indications. Additional safety and immunological data shared last month by lead investigator, Dr. Angela Huttner, at the 33rd European Congress of Clinical Microbiology and Infectious Diseases or ECCMID, provided more insight on the potential of INO-4201 to generate robust immune responses and extend protection against Ebola. Mike will also share more details on that data. On our last earnings call in March, we announced top line results for REVEAL2, the second Phase 3 trial for VGX-3100 as a treatment to cervical high grade squamous intraepithelial lesions or cervical HSIL. As we shared at that time, the trial results could not meet the primary endpoints in the biomarker selected population, but did show statistical significance in the all-comers population. Since then, we've continued to analyze the data to better understand the biomarker population. Our goal is to share the results of this analysis with you in the third quarter of 2023. We continue to believe that the data from REVEAL2, which showed VGX-3100's ability to provide viral clearance, highlights this drug candidate's potential to address the underlying course of the disease, the HPV virus, which could make it an effective treatment option for additional indications particularly in HSIL.
Regeneron continues and as we wrapped up the Phase 2 study for this product candidate in glioblastoma, we still have patients from the study that we are continuing to provide drug for and we are evaluating next steps for this candidate which we believe is worth a further evaluation.: While we've been making headway on the clinical front, we've also been able to maintain our financial position as we continue to expect our cash runway to take us into the first quarter of 2025. We will continue to ensure our strategic focus and financial discipline as we work to build on our improvement progress to date. An essential part of our strategy is ensuring that we have the resources and talent in place to advance our product candidates quickly and efficiently. This quarter were welcomed Dr. Cheryl Elder as Senior Vice President of Regulatory Affairs at INOVIO. She joins a seasoned product development team to oversee regulatory strategy and company interaction with global regulatory authorities. With over 30 years of experience leading cross functional teams in drug developments in multiple therapeutic areas, Dr. Elder has a successful track record of driving regulatory strategies within both small and multinational biotechnology companies, including Hoffmann-La Roche and most recently Novartis Pharmaceuticals. I am confident we will benefit from her expertise as we seek to implement efficient regulatory strategies for key candidates across our pipeline. With that, I'd like to turn it over to our Chief Medical Officer, Dr. Michael Sumner, to provide some important highlights. Mike?
Michael Sumner: Thank you very much Jacque and greetings everyone. I'd like to start today with INO-3107, our product candidate for RRP and the development progress we've made since our last quarterly call. As Jacque alluded to, one of the most important developments for this project has been the productive interactions we've had so far with the FDA, which have helped shape the design for our Phase 3 trial. One of the challenges of studying the treatment effect of any drug candidate in RRP patients is that the disease can be variable among patients over time and there are no standardized guidelines for surgical intervention. With these parameters in mind, we are preparing to conduct a randomized placebo controlled Phase 3 trial. We believe this trial format reflects the constructive feedback we received from the FDA and provides a clearer path forward to assess both the safety and efficacy of INO-3107. We still have some additional trial details to workout with the agency before we can officially start our Phase 3 trial, including questions related to our CELLECTRA 5PSP delivery device which we are working to address. As a reminder, this device was previously successfully used in two Phase 3 trials, REVEAL1 and REVEAL2. As we address these details, we have moved forward with engaging a clinical research organization under actively identifying global sites as we continue to make the appropriate preparations to conduct this important innovative pivotal trial. Meanwhile, I'm pleased to report that we've shared the full results from our Phase 1/2 trial at different scientific and medical conferences over the last several weeks, including having our lead investigator, Dr. Ted Mau present at the ABEA program at COSM in Boston last Friday. Dr. Mau's presentation included more detailed safety, immunological and demographic data, which I would like to share with you today. This slide shows, at a glance, the impact 3107 had on the number of surgeries for the patients who were involved in our trial. I'm really pleased to summarize that 26 out of 32 patients or 81% experienced a decrease in surgical interventions in the year after treatment commenced versus the prior year, including 9 or 28% of patients that required no surgical intervention during that year. Patients experienced a median decrease of three surgeries in the year following treatment in comparison to the year prior to baseline. As a reminder, any surgery performed following day zero, including during the dosing window, was counted against the efficacy endpoint. As a reminder, RRP patients as well as their physicians and advocates, have expressed that a reduction in surgeries is the most important outcome to them and that a reduction of even one surgery is a meaningful difference. In terms of demographics of the patients involved in the trial, the median age was 47 years with an age range of 25 to 82. The median number of surgeries in the year prior to dosing was 4 with a range of 2 to 8. This slide shows 3107's overall safety profile. An important hallmark of DNA medicines in general is favorable tolerability and safety, and INO-3107 behaved as expected on that front in our Phase 1/2 trial. You can see here the most frequently reported treatment emergent adverse events being related to administration, either injection site pain or procedural pain. Treatment emergent AEs observed in the trial were generally low grade, most of which were grade 1. 4 of the 32 patients experienced a grade 3 treatment emergent AE, but none were deemed related to INO-3107. Two serious adverse events were reported during the trial, but again, both were deemed unrelated to INO-3107. There were no treatment emergent AEs leading to treatment discontinuation and all subjects who participated in the trial received all four treatments. Next, I'd like to highlight data from the staging assessment scores. Staging assessment scores include both a subjective functional assessment of clinical parameters as well as an anatomic assessment of disease distribution, essentially assessing total disease burden. The combination of the scores measures an individual's clinical course and response to the therapy over time. There is also data supporting that the anatomic burden of RRP as assessed by the RRP staging system correlates well with voice related quality of life for the patients, which is the most frequently reported symptom in adult patients. As you can see on the slide, there were improvements in the total assessment score based on the combined data for all the patients in the trial. As a reminder of what that actually looks like for a patient, I'd like to share a slide we showed at our last quarterly call. For me, it's a powerful illustration of the clinical benefit of INO-3107 and how it could potentially provide patients suffering from this terrible disease relief. Next, I'd like to share some highlights on the cellular and immune response we saw in this trial. Treatment induced cellular responses against both HPV-6 and HPV-11, inducing both activated CD4 and activated lytic CD8 T-cells. We believe this type of cytotoxic CD8 T-cell response may be important in clearing HPV infected cells. T-cell responses were also observed at week-52, which was 43 weeks after final treatment with INO-3107 indicating a persistent cellular memory response. Additional analyses are also ongoing to determine a possible relationship between specific CD4 and CD8 phenotypes and clinical outcomes. This will be important as we look at ways to further improve clinical outcomes, including studying the likely duration of treatment effect and the requirement for repeat dosing. In summary, I'd like to highlight the conclusions Dr. Mau made during his presentation. Investigators noted that the data suggests that INO-3107 administered with intramuscular electroporation was well tolerated with a favorable safety profile. In addition, it also appears to provide clinical benefit to adult patients with RRP and together supports further investigation of INO-3107 in a Phase 3 trial. Moving to the next slide, we recently received a positive opinion from the European Committee for Orphan Medicinal Products on our application for orphan drug designation for INO-3107. The European Commission will now review that opinion and make their final decision, which is expected later this month. Orphan designation in the EU would provide Inovio important benefits such as reduced fees for regulatory activities and 10 years of protection from market competition once approved. Furthermore, we recognize the considerable burden RRP places on the pediatric population and believe INO-3107 could also provide clinical benefit to these patients. We therefore plan to move forward in both the U.S. and the European Union with a proposal of how to approach pediatric development. At the recent International Papillomavirus Conference in Washington DC that I attended, I was once again reminded of the considerable impact RRP has on patients and their caregivers' lives. As an organization, we are keeping that in mind every single day as we work to move INO-3107 forward for patients around the world. Staying on our HPV franchise, I also wanted to provide some updates on VGX-3100, our product candidate focusing on high grade squamous epithelial lesions or HSIL. On our last earnings call, we announced results from our REVEAL2 study, which was conducted in patients with cervical HSIL. At that time, we shared that the trial did not achieve statistical significance in the biomarker positive population. However, the study did achieve statistical significance in the all-comers population. Looking across the totality of data we've collected for VGX-3100 in HPV related diseases, we remain encouraged by the viral clearance data in various studies, including REVEAL2 where we saw viral clearance of 37% in the treated group versus 9% in the placebo group. To get a better handle on the biomarker data, we have been analyzing the results highlighting two main areas. Firstly, a determination of why some biomarker positive subjects did not respond to treatment with a focus of looking at clinical characteristics such as stage of disease, infection with other HPV types, clinical site location, age, and smoking status.
electrosurgical:
HPV:
HPV:
HPV: While watchful waiting has historically been a common clinical practice for anal HSIL, greater attention is now being paid to proactive treatment options. Recent results from the NIH and NCI funded anal cancer HSIL outcomes research or ANCHOR study in HIV positive patients showed that treatment of anal HSIL is superior in the prevention of progression to cancer. At present, treatment of this condition is usually surgical. That includes radiofrequency ablation, resections, or laser therapy. However, ablation which is the most common treatment currently does not clear the underlying HPV infection and recurrent rates are high up to 49% one year after treatment. This leads us to believe anal HSIL is a disease with significant unmet need that could potentially be met with a therapeutic candidate like VGX-3100. The viral clearance data I mentioned earlier from our two phase three cervical HSIL studies, as well as our Phase 2 data provide additional confidence regarding the potential of 3100 to treat the underlying cause of the majority of anal HSIL cases. Based on positive feedback from key opinion leaders we have started discussions with both the FDA and regulators in the European Union to determine the path forward for this indication. Now, I would like to switch gears to INO-4201, a DNA booster vaccine targeting the Zaire Ebola virus. As Jacque mentioned recently, Dr. Angela Huttner, lead investigator of the Phase1b trial for INO-4201 presented new safety and immunological data at the 33rd European Congress of Clinical Microbiology and Infectious Diseases. The trial showed that a single dose of INO-4201, along with intradermal electroporation was well tolerated and immunogenic compared to placebo in a cohort of healthy volunteers primed with ERVEBO. As you can see on this slide, both binding and neutralizing antibody titers rose significantly after the boost in a 100% of subjects with binding antibody titers rising significantly at each time point measured peaking at week-two. Likewise, neutralizing antibody titers demonstrated a similar profile.
HPV: While watchful waiting has historically been a common clinical practice for anal HSIL, greater attention is now being paid to proactive treatment options. Recent results from the NIH and NCI funded anal cancer HSIL outcomes research or ANCHOR study in HIV positive patients showed that treatment of anal HSIL is superior in the prevention of progression to cancer. At present, treatment of this condition is usually surgical. That includes radiofrequency ablation, resections, or laser therapy. However, ablation which is the most common treatment currently does not clear the underlying HPV infection and recurrent rates are high up to 49% one year after treatment. This leads us to believe anal HSIL is a disease with significant unmet need that could potentially be met with a therapeutic candidate like VGX-3100. The viral clearance data I mentioned earlier from our two phase three cervical HSIL studies, as well as our Phase 2 data provide additional confidence regarding the potential of 3100 to treat the underlying cause of the majority of anal HSIL cases. Based on positive feedback from key opinion leaders we have started discussions with both the FDA and regulators in the European Union to determine the path forward for this indication. Now, I would like to switch gears to INO-4201, a DNA booster vaccine targeting the Zaire Ebola virus. As Jacque mentioned recently, Dr. Angela Huttner, lead investigator of the Phase1b trial for INO-4201 presented new safety and immunological data at the 33rd European Congress of Clinical Microbiology and Infectious Diseases. The trial showed that a single dose of INO-4201, along with intradermal electroporation was well tolerated and immunogenic compared to placebo in a cohort of healthy volunteers primed with ERVEBO. As you can see on this slide, both binding and neutralizing antibody titers rose significantly after the boost in a 100% of subjects with binding antibody titers rising significantly at each time point measured peaking at week-two. Likewise, neutralizing antibody titers demonstrated a similar profile.
HPV: While watchful waiting has historically been a common clinical practice for anal HSIL, greater attention is now being paid to proactive treatment options. Recent results from the NIH and NCI funded anal cancer HSIL outcomes research or ANCHOR study in HIV positive patients showed that treatment of anal HSIL is superior in the prevention of progression to cancer. At present, treatment of this condition is usually surgical. That includes radiofrequency ablation, resections, or laser therapy. However, ablation which is the most common treatment currently does not clear the underlying HPV infection and recurrent rates are high up to 49% one year after treatment. This leads us to believe anal HSIL is a disease with significant unmet need that could potentially be met with a therapeutic candidate like VGX-3100. The viral clearance data I mentioned earlier from our two phase three cervical HSIL studies, as well as our Phase 2 data provide additional confidence regarding the potential of 3100 to treat the underlying cause of the majority of anal HSIL cases. Based on positive feedback from key opinion leaders we have started discussions with both the FDA and regulators in the European Union to determine the path forward for this indication. Now, I would like to switch gears to INO-4201, a DNA booster vaccine targeting the Zaire Ebola virus. As Jacque mentioned recently, Dr. Angela Huttner, lead investigator of the Phase1b trial for INO-4201 presented new safety and immunological data at the 33rd European Congress of Clinical Microbiology and Infectious Diseases. The trial showed that a single dose of INO-4201, along with intradermal electroporation was well tolerated and immunogenic compared to placebo in a cohort of healthy volunteers primed with ERVEBO. As you can see on this slide, both binding and neutralizing antibody titers rose significantly after the boost in a 100% of subjects with binding antibody titers rising significantly at each time point measured peaking at week-two. Likewise, neutralizing antibody titers demonstrated a similar profile.
HPV: While watchful waiting has historically been a common clinical practice for anal HSIL, greater attention is now being paid to proactive treatment options. Recent results from the NIH and NCI funded anal cancer HSIL outcomes research or ANCHOR study in HIV positive patients showed that treatment of anal HSIL is superior in the prevention of progression to cancer. At present, treatment of this condition is usually surgical. That includes radiofrequency ablation, resections, or laser therapy. However, ablation which is the most common treatment currently does not clear the underlying HPV infection and recurrent rates are high up to 49% one year after treatment. This leads us to believe anal HSIL is a disease with significant unmet need that could potentially be met with a therapeutic candidate like VGX-3100. The viral clearance data I mentioned earlier from our two phase three cervical HSIL studies, as well as our Phase 2 data provide additional confidence regarding the potential of 3100 to treat the underlying cause of the majority of anal HSIL cases. Based on positive feedback from key opinion leaders we have started discussions with both the FDA and regulators in the European Union to determine the path forward for this indication. Now, I would like to switch gears to INO-4201, a DNA booster vaccine targeting the Zaire Ebola virus. As Jacque mentioned recently, Dr. Angela Huttner, lead investigator of the Phase1b trial for INO-4201 presented new safety and immunological data at the 33rd European Congress of Clinical Microbiology and Infectious Diseases. The trial showed that a single dose of INO-4201, along with intradermal electroporation was well tolerated and immunogenic compared to placebo in a cohort of healthy volunteers primed with ERVEBO. As you can see on this slide, both binding and neutralizing antibody titers rose significantly after the boost in a 100% of subjects with binding antibody titers rising significantly at each time point measured peaking at week-two. Likewise, neutralizing antibody titers demonstrated a similar profile.
HPV: While watchful waiting has historically been a common clinical practice for anal HSIL, greater attention is now being paid to proactive treatment options. Recent results from the NIH and NCI funded anal cancer HSIL outcomes research or ANCHOR study in HIV positive patients showed that treatment of anal HSIL is superior in the prevention of progression to cancer. At present, treatment of this condition is usually surgical. That includes radiofrequency ablation, resections, or laser therapy. However, ablation which is the most common treatment currently does not clear the underlying HPV infection and recurrent rates are high up to 49% one year after treatment. This leads us to believe anal HSIL is a disease with significant unmet need that could potentially be met with a therapeutic candidate like VGX-3100. The viral clearance data I mentioned earlier from our two phase three cervical HSIL studies, as well as our Phase 2 data provide additional confidence regarding the potential of 3100 to treat the underlying cause of the majority of anal HSIL cases. Based on positive feedback from key opinion leaders we have started discussions with both the FDA and regulators in the European Union to determine the path forward for this indication. Now, I would like to switch gears to INO-4201, a DNA booster vaccine targeting the Zaire Ebola virus. As Jacque mentioned recently, Dr. Angela Huttner, lead investigator of the Phase1b trial for INO-4201 presented new safety and immunological data at the 33rd European Congress of Clinical Microbiology and Infectious Diseases. The trial showed that a single dose of INO-4201, along with intradermal electroporation was well tolerated and immunogenic compared to placebo in a cohort of healthy volunteers primed with ERVEBO. As you can see on this slide, both binding and neutralizing antibody titers rose significantly after the boost in a 100% of subjects with binding antibody titers rising significantly at each time point measured peaking at week-two. Likewise, neutralizing antibody titers demonstrated a similar profile.
HPV: While watchful waiting has historically been a common clinical practice for anal HSIL, greater attention is now being paid to proactive treatment options. Recent results from the NIH and NCI funded anal cancer HSIL outcomes research or ANCHOR study in HIV positive patients showed that treatment of anal HSIL is superior in the prevention of progression to cancer. At present, treatment of this condition is usually surgical. That includes radiofrequency ablation, resections, or laser therapy. However, ablation which is the most common treatment currently does not clear the underlying HPV infection and recurrent rates are high up to 49% one year after treatment. This leads us to believe anal HSIL is a disease with significant unmet need that could potentially be met with a therapeutic candidate like VGX-3100. The viral clearance data I mentioned earlier from our two phase three cervical HSIL studies, as well as our Phase 2 data provide additional confidence regarding the potential of 3100 to treat the underlying cause of the majority of anal HSIL cases. Based on positive feedback from key opinion leaders we have started discussions with both the FDA and regulators in the European Union to determine the path forward for this indication. Now, I would like to switch gears to INO-4201, a DNA booster vaccine targeting the Zaire Ebola virus. As Jacque mentioned recently, Dr. Angela Huttner, lead investigator of the Phase1b trial for INO-4201 presented new safety and immunological data at the 33rd European Congress of Clinical Microbiology and Infectious Diseases. The trial showed that a single dose of INO-4201, along with intradermal electroporation was well tolerated and immunogenic compared to placebo in a cohort of healthy volunteers primed with ERVEBO. As you can see on this slide, both binding and neutralizing antibody titers rose significantly after the boost in a 100% of subjects with binding antibody titers rising significantly at each time point measured peaking at week-two. Likewise, neutralizing antibody titers demonstrated a similar profile.
interferon: Finally, memory marker phenotyping suggests the cytokine production was generated predominantly from central memory CD4 positive T-cells and affect the memory CD8 positive T-cells, most likely indicative of persistent protection against Ebola. The data presented suggests that a booster dose of INO-4201 has the potential to extend protection against the Zaire Ebola strain and could be an important tool in future Ebola virus disease prevention, a threat that does not seem to be waning. As you can see, outbreaks have continued to pop up across the African continent consistently since 1976, and as the past few years have shown, a globalized world only increases the potential for these outbreaks to jump borders. After consultation with external experts, we believe we are now in a position to share our proposed development pathway with regulatory agencies and have set a goal for alignment on next steps by year end.
SARS: Finally, memory marker phenotyping suggests the cytokine production was generated predominantly from central memory CD4 positive T-cells and affect the memory CD8 positive T-cells, most likely indicative of persistent protection against Ebola. The data presented suggests that a booster dose of INO-4201 has the potential to extend protection against the Zaire Ebola strain and could be an important tool in future Ebola virus disease prevention, a threat that does not seem to be waning. As you can see, outbreaks have continued to pop up across the African continent consistently since 1976, and as the past few years have shown, a globalized world only increases the potential for these outbreaks to jump borders. After consultation with external experts, we believe we are now in a position to share our proposed development pathway with regulatory agencies and have set a goal for alignment on next steps by year end.
CoV: Finally, memory marker phenotyping suggests the cytokine production was generated predominantly from central memory CD4 positive T-cells and affect the memory CD8 positive T-cells, most likely indicative of persistent protection against Ebola. The data presented suggests that a booster dose of INO-4201 has the potential to extend protection against the Zaire Ebola strain and could be an important tool in future Ebola virus disease prevention, a threat that does not seem to be waning. As you can see, outbreaks have continued to pop up across the African continent consistently since 1976, and as the past few years have shown, a globalized world only increases the potential for these outbreaks to jump borders. After consultation with external experts, we believe we are now in a position to share our proposed development pathway with regulatory agencies and have set a goal for alignment on next steps by year end.
2: Finally, memory marker phenotyping suggests the cytokine production was generated predominantly from central memory CD4 positive T-cells and affect the memory CD8 positive T-cells, most likely indicative of persistent protection against Ebola. The data presented suggests that a booster dose of INO-4201 has the potential to extend protection against the Zaire Ebola strain and could be an important tool in future Ebola virus disease prevention, a threat that does not seem to be waning. As you can see, outbreaks have continued to pop up across the African continent consistently since 1976, and as the past few years have shown, a globalized world only increases the potential for these outbreaks to jump borders. After consultation with external experts, we believe we are now in a position to share our proposed development pathway with regulatory agencies and have set a goal for alignment on next steps by year end.
GuardRX,: We have several other externally sponsored programs in the pipeline at various stages of development, including the Phase 2 trial for anal HSIL in HIV positive sponsored by the AIDS malignancy consortium that I previously mentioned, as well as candidates in two Phase 1 HIV trials sponsored by the National Institute of Allergy and Infectious Diseases.
SARS: With that, I'll now turn the call over to our CFO, Peter Kies for our first quarter 2023 financial summary. Peter?
CoV: With that, I'll now turn the call over to our CFO, Peter Kies for our first quarter 2023 financial summary. Peter?
2: With that, I'll now turn the call over to our CFO, Peter Kies for our first quarter 2023 financial summary. Peter?
DMAbs: With that, I'll now turn the call over to our CFO, Peter Kies for our first quarter 2023 financial summary. Peter?
Peter Kies: Thank you, Michael. What I'd like to provide today is an overview of Inovio's financial condition for the first quarter of 2023. As Jacque and Mike have discussed with you here today, Inovio is focused on advancing the most promising candidates in our pipeline as quickly as possible. Part of this effort has included making sure we have enough cash runway to support those research efforts. As you can see on this slide, I've highlighted how our operating expenses have declined over the last year. In the first quarter of 2023, our total operating expenses were $44.1 million, which is down 39% from the first quarter in 2022, as well as down 21% from the fourth quarter of 2022. Breaking down total operating expenses a bit more, we see that research and development expenses for the first quarter of 2023 were $30.2 million compared to $56 million for the same period in 2022, a 46% reduction quarter-over-quarter. The decrease in R&D expenses was primarily the result of lower drug manufacturing, clinical trial expenses and outside services related to INO-4800, as well as lower expensed inventory and outside services related to our CELLECTRA 3PSP device and array automation project, among other variances. General and administrative expenses for the first quarter of 2023 were $13.9 million versus $16 million for the same period in 2022, which is a 13% drop. The decrease was primarily due to lower non-cash stock based compensation, insurance, and other outside services offset by higher legal expense. Our revenues for the first quarter of 2023 were $115,000, which is down from $199,000 in the same period in 2022. These factors combined to bring our net loss for the first quarter of 2023 to $40.6 million, down 49% from $79.1 million, which was a net loss for the prior period in our prior year. On a per share basis, both basic and dilutive, our net loss for the first quarter of 2023 was $0.16, down from $0.36 for the 2022 period. We finished the first quarter of 2023 with $223.8 million in cash, cash equivalents and short-term investments compared to $253 million as of December 31, 2022. Looking forward, we are maintaining our prior projections of our cash runway taking us into the first quarter of 2025. This includes our cash burn estimate for the second quarter of 2023 of approximately $33 million. These projections do not include any funds that may be raised through our existing ATM at the market offering program or other capital raise activities. As a reminder, you can find our full financial statements in this afternoon's press release, as well as in our Form 10-K filed with the SEC. And with that, I'll turn it back over to Jacque.
Jacqueline Shea: Thank you, Peter. I'd now like to open up the call to answer any questions you might have. Operator?
Operator: [Operator Instructions] At this time, we will take our first question, which will come from Greg Renza with RBC Capital Markets. Please go ahead with your question.
Unidentified Analyst: Hi guys, it's [indiscernible] for Greg. Great to hear about the continued progress this quarter and thanks for taking my questions. Just on 3107 in the newly presented combined Cohort 1 and Cohort 2 data, how should we be thinking about the degree of heterogeneity between the cohort in terms of baseline characteristics, just to get a sense of how well they meld together? And maybe secondly, if you have a sense on the data package and its composition that you present to regulators on the path ahead. I appreciate your time and thanks again.
Jacqueline Shea: Yes, thanks. Those are really great questions. And before I ask Mike to respond in more detail, I'd just like to say again, how encouraged we are by this combined data set and our interactions with the FDA to date. We do believe that we have a workable framework going forward for our Phase 3 clinical trial design, and we are very encouraged by the potential INO-3107 has to really be a therapeutic option for patients suffering for from RRP. So with that, I'll turn it over to Mike to comment on some of the more specific items you asked about. Mike?
Michael Sumner: Yes, thank you. So starting off with the heterogeneity between the two groups, I mean overall we felt that the two cohorts were very similar in terms of baseline characteristics as well as clinical response. And obviously the safety profile was similar also. So we didn't really, really feel when we put the data set together that we needed to treat Cohort 1 differently from Cohort 2. And as you saw from a sort of range of surgeries, we saw a range from two to eight and we saw a same decrease, median decrease in surgeries in both cohorts. So we were actually very pleased from that because it's always nice to get a second set of study results that reinforce, the primary results that we've seen. So with respect to the, the data package, obviously it consisted of the full of the results that we've talked about to date, as well as the full Phase 3 study outline. And as you can, as I talked to, I mean the two main elements that we wanted to address that we knew were of concern to the agency was the variability in disease among patients over time. And really the only way that you can do that is through a randomized placebo control trial. And so that's where we ended up, but it was actually where we expected to end up, when we started discussions with the agency. Does that answer your question?
Unidentified Analyst: Yes, that was really helpful. I really appreciate the time and congrats on the progress again.
Michael Sumner: Thank you
Operator: [Operator Instructions] Our next question will come from Hartaj Singh with Oppenheimer. Please go ahead with your question.
Hartaj Singh: Hey, great. Thank you and thanks for the couple of questions. One is just going back to that RRP question that was just us. But thinking about the Phase 3 when you so, but how many patients are you thinking about the trial could be? And should we just assume that the patients will have at least those two surgical interventions? And just give us a sense of the market, if the market, I mean the total sort of patient sizing for this, if it's possible? And then I just had one follow-up question on HSIL after this. Thank you.
Jacqueline Shea: So thanks very much Hartaj, I think those are great questions. So I'm going to ask Mike to take the Phase 3 questions that you asked and then I'll comment a bit about the market size. So Mike?
Michael Sumner: Okay, so as we haven't obviously disclosed the final sample size for the Phase 3 study, but to give you some parameters of sort of how to think about it, at the end of the day we saw, we were not expecting to see a statistically significant result in either cohort. This was a Phase 1/2 exploratory study, and I think, the fact that we did see that statistical significance just points to the size of the clinical effect that we are seeing in both those cohorts. So when we actually looked at the sample size, we could actually get away with, probably a way, too small a sample size. And so, we also realized that you have to balance that with making sure you have an adequate safety database with the agency. So if you run the numbers, don't expect it to be the smallest number that you could get away with, but it is certainly a very manageable pop sample size for a Phase 3 program.
Jacqueline Shea: Thanks, Mike. And Hartaj to talk a bit about the potential market size, in the U.S. I think current actual [ph] figures estimate that there may be around 14,000 patients with active RRP, probably a similar number in Europe. As you know, HPV unfortunately is everywhere. So there are RRP patients globally. I think an estimate from the RRP foundation a few years back estimated an average cost of treatment for a patient in the U.S. to be at about $72,000 per annum. So as you can see, just by doing the math that pretty quickly gets to some pretty big numbers that are being spent currently on RRP treatment. We would expect appropriate rare disease pricing for this. And we believe that, there is a significant high unmet medical need that could be addressed by therapeutic options for RRP and as an alternative to surgery. So, we think that there is, an appropriate market here.
Hartaj Singh: Yes, no, that's great. Thank you for all the color. And then, just on in HSIL, I know it's been a while since you presented the data and, how much sort of insight and confidence have you gotten from REVEAL 1, REVEAL 2 in these forms of cancers, then the biomarker data to kind of give you good line of sightings the next step and, what would that be? Would that be a Phase 2, strictly a Phase 2/3 and, so thanks for the question.
Jacqueline Shea: Okay. So again, before I ask Mike to jump in here, perhaps what I can say is, whilst these are separate indications. We have been really encouraged by the data that we've seen now for VGX-3100 across multiple studies, multiple indications in terms of its ability to generate cytotoxic T-cells and also the levels of viral clearance that we've seen, and then tissue aggression. So, we are really encouraged by the totality of the data as a whole, also seen very encouraging safety and tolerability profiles across those studies. So Mike, do you want to expand a bit more on sort of what we are thinking around in HSIL?
Michael Sumner: Yes, no, thank you, Jacque. I mean, obviously we started at the point that Jacque has just talked to, we're seeing very consistent viral clearance of HPV infected cells. And we actually saw very promising results from the anal HSIL Phase 2 results. So, we -- while I can't talk to the specifics of the program we've put in we do believe, now that ANCHOR has led the way in terms of how anal HSIL patients should be treated, we believe we have a good place for VGX-3100 in the treatment paradigm of these patients. And think that we are confident that we would see a dissimilar effect of 3100 on clearing those HPV infected cells. So, but it is, as in all of these things, it is a discussion with the agencies and we are just in the process of having that.
Hartaj Singh: Yes. Mike, thank you so much. And then Jacque, just one very quick follow up, the numbers you cited on RRP the 72,000 per annum on average, about how long do these patients tolerate these surgeries before sort of, I guess progressing or dropping off or wherever is the next step after that?
Jacqueline Shea: Yes, again a really great question Hartaj. I mean, unfortunately, RRP can be a lifelong disease. People who have their first occurrence of RRP as children can suffer from repeated issues throughout their lives. It really is a chronic disease. You can also get RRP occurring for the first time in adulthood and even in older adults as well. Once you have RRP, as Mike said, the disease course can be variable, but many people have RRP for decades. And really I think what we are looking for here is a treatment that's going to be appropriate for people who are suffering from a chronic disease, so a treatment that's really going to be suitable across their lifetime. So Mike, do you want to add to that?
Michael Sumner: Yes, no I mean, I think from the number of surgeries, I mean, because of the lifelong nature of the condition, I mean, there are several patients out there with, having hundreds of surgeries. I mean, it really is, it just drives it home to you that the impact RRP has on these patient lives, when you start getting out there in the community. So I think we will, I think to your previous question, I mean, we didn't see any reason to veer away from two surgeries in the year being a reasonable indicator of a need to intervene and hopefully change the course of these patients disease.
Hartaj Singh: Great. Thank you. Thank you for all the questions.
Operator: And our next question will come from Li Chen with H.C. Wainwright. Please go ahead with your question.
Li Chen: Thank you for taking my question. Could you give us some additional color FDA's primary concern regarding the design of the Phase 3 trial for 3107?
Michael Sumner: Yes, I mean, first of all, I'll say it wasn't a primary concern. These are just routine questions that we have as part of the review. So I mean for -- we talked about that they were, they concurred with a design of a Phase 3 study being randomized placebo controlled trial. We have -- because there are no surgical criteria, we are paving a way forward in RRP clinical development. So we have some questions around how we can agree what those surgical criteria are. And then the device questions were just, part of the review of a combination product which occurs when you submit a protocol for Phase 3 development.
Li Chen: Do you think FDA will require any modification to the injection device?
Michael Sumner: I mean, I don't believe, I mean, when you look at our EP history, we've administered EP to over 18,000 patients. That's obviously intradermal and intramuscular. I think we've established the EP parameters. I don't believe there'll be certainly any changes to the administration profile of electroporation.
Jacqueline Shea: Yes, and maybe I can just touch, jump in here as well, Mike. We have previously used this device in two other previous Phase 3 studies both REVEAL1 and REVEAL2. And as Mike mentioned, we think these questions are part of the normal review of a proposed Phase 3 study.
Li Chen: Now, once you start the Phase 3 trial, will that increase the quarterly cash burn?
Peter Kies: Hi. This is Peter Kies. That's built in currently right now, and we feel like we have sufficient funds to complete the trial, but we are still working through everything with the feedback from the FDA.
Li Chen: Okay. Thank you.
Operator: And that concludes our question-and-answer session. I would like to turn the conference back over to Dr. Jacque Shea for any closing remarks.
Jacqueline Shea: Thank you for your questions and for joining us today. Inovio has made important headway in the clinical development of our key candidates in the first few months of this year, and we will continue to work hard to build on that progress in the months to come. We plan to present and publish our work at leading medical conferences and journals, as well as share additional regulatory and development updates from our key candidates as they become available. We will continue to work with our partners and collaborators to advance our pipeline, as well as look for new and creative ways to develop our DNA medicines. I look forward to sharing updates on our additional progress at our next quarterly report, as we drive toward delivering on the promise of DNA medicines for patients globally. With that, thank you again for your attention. Have a great evening everyone.
Operator: The conference has now concluded. Thank you very much for attending today's presentation. You may now disconnect your lines.